Operator: Good day and thank you for standing by. Welcome to the First Quarter 2021 Laureate Education Earnings Conference Call.  I’d now like to hand the conference over to your host today, Mr. Adam Morse, Senior Vice President of Finance.
Adam Morse: Good morning and thank you for joining us on today’s call to discuss Laureate Education’s first quarter 2021 results. Joining me on the call today are Eilif Serck-Hanssen, President and Chief Executive Officer and Rick Buskirk, Chief Financial Officer. Our earnings press release is available on the Investor Relations section of our website at laureate.net. We have also posted a supplementary presentation to the website, which we will be referring to during today’s call. The call is being webcast and a complete recording will be available after the call.
Eilif Serck-Hanssen: Thank you, Adam and good morning everyone. Having just completed our primary enrollment intake in Peru, I am pleased to report that 2021 is off to a good start. We experienced a return to growth in Peru with new enrollment increasing 11% year-over-year on a comparable basis in that market, and with 5% new enrollment growth overall for continuing operations. Our first quarter results were ahead of expectations and very encouraging. We are optimistic on the outlook for the year, although we acknowledge continued uncertainties from the pandemic and recent weakness in FX rates. In both Mexico and Peru, vaccinations are lagging well behind the United States, with less than 5% of the population having been fully vaccinated, and the general macro conditions have not yet experienced the pace of recovery that we have seen in the U.S. In Mexico, our large new enrollment intake cycle will occur in September. It is too early as of today to have a firm read on that intake, but we will have a better indication by the time we report second quarter results. Therefore we are maintaining our previously issued full year 2021 guidance and 2022 outlook and plan to revisit our guidance as the September intake progresses. The robust performance during the primary intake in Peru, despite the continued challenges from the pandemic, highlights this strong value proposition to our students and the quality of our offerings. During the current quarter, we received some additional recognitions for our institutions, including in Peru. According to a survey conducted by Ipsos, UPC was recognized as the number one university brand in terms of top of mind, spontaneous awareness, consideration and first option by high school seniors. In Mexico, despite the pandemic, both our brands gained market share during 2020 which reflects our strong brand positions and leadership in digital learning.
Rick Buskirk: Thank you very much, Eilif. As a reminder, higher education is a seasonal business. The first quarter represents the primary intake cycle for Peru, a Southern hemisphere market, and a smaller intake cycle for Mexico, which is a Northern hemisphere market. However, as classes are out of session for most of the period, it is a seasonally low quarter from a revenue and income standpoint. As you may recall last year, due to the COVID-19 pandemic, the start of certain classes in Peru were pushed to the second quarter of 2020. This year, the academic calendar is back on a normal cycle, and the intake completed and classes started during the first quarter. This is illustrated on the chart noted on Page 10. The timing difference skews year-over-year comparability for our results. As I run through the highlights for the quarter, I will note those timing adjustments. Now, starting on Page 11 with the financial performance, revenue in the seasonally low first quarter was $195 million and Adjusted EBITDA was $10 million. On a comparable basis, and at constant currency, revenue for the first quarter increased by 5% when compared to 2020 due to the favorable Peru intake and shift of the academic calendar, which benefited revenue by $18 million. Adjusting for the timing of that calendar shift, revenue was down 5% on a comparable basis despite being up 2% in enrollment volume. The reason for this is due to the weighting of Mexico and Peru’s results for the quarter. Peru drove the volume upside in the first quarter but is mainly out of session for Q1, and as a result represents only around 30% of revenue generated for the quarter. Conversely, Mexico was largely in-session and drove approximately 70% of the revenue generated in the first quarter. Mexico’s revenue was down 11% year-over-year due to the fact that it had yet to experience results from its main intake this year, which will occur in September, and is thus operating from a smaller COVID-19 affected base from last year. In summary, the first quarter year-over-year revenue performance is driven by the Mexico mix. Adjusted EBITDA of $10 million was up $39 million versus the prior period due to the strong intake results from Peru, timing of expenses and the academic calendar shift, which favorably impacted results by approximately $15 million. Let me now provide some additional color on the performance of Mexico and Peru, starting with Page 13. Please note that all comparisons versus prior year are on an organic and constant currency basis. Let’s start with Mexico. Our overall results reflected the performance from our primary intake cycle that occurred last fall. Mexico just completed its small Q1 new enrollment intake, which typically represents less than 30% of the total intake for the year. This intake was down 4% versus prior year. With this smaller intake, we saw a mix shift between traditional face-to-face programs and our fully online offerings that have been accelerated by the pandemic. Total enrollment showed a similar trend overall, with total enrollments down 5% versus the prior year period. Revenue for the quarter was down 11% as a result of lower enrollment combined with the mix shift between face-to-face and fully online, as the average revenue per online program is roughly 40% below a face-to-face offering. Finally, Adjusted EBITDA was essentially flat year-over-year on a comparable basis, benefiting from cost and efficiency actions.
Eilif Serck-Hanssen: Thank you, Rick. We are encouraged by the momentum in the business under our new model as a regional operator in Mexico and Peru. The student value proposition for higher education is very strong in both Mexico and Peru and our quality and brand positioning are unparalleled. Our business model has proven to be very resilient through the entire pandemic and we are now starting to see signs of enrollments and revenues returning to growth. We look forward to completing our transformation this year, including closing the Brazil sale this quarter and Walden University in the second half of this year. Our G&A transformation, is on track and we are cautiously optimistic for the fall enrollment intake. Operator, that concludes our prepared remarks and we are now happy to take any questions from the participants.
Operator:  We have a question from the line of Shlomo Rosenbaum with Stifel.
Adam Parrington: Hi, this is Adam Parrington on for Shlomo. Just to confirm, what I think I heard was the quantification of the semester timing impact in Peru. You say, it was $15 million in revenue or $18 million on revenue and $15 million on EBITDA, is that correct?
Rick Buskirk: That’s correct.
Adam Parrington: Okay. And then in terms of what your expectations are in terms of the operating cadence in the second half of this year, particularly as it relates to guidance and then how that relative to what you are seeing on the ground and then your confidence for 2022 guidance, just kind of thoughts on that?
Eilif Serck-Hanssen: Hey, this is Eilif. Clearly, we are off to a good start with the enrollment cycle in the Southern Hemisphere. The next big event for us is the enrollment cycle in the Northern Hemisphere for Mexico. And we are, but a third of the way on the main intake, so we have some visibility, but the vast majority of the enrollment will happen in June-July. So, we will have much better clarity in connection with our second quarter earnings release and we will provide further update then on the balance of this year as well as 2022.
Adam Parrington: Okay. Thanks.
Operator:  I am showing no further questions in queue at this time. This concludes today’s conference call. Thank you for participating. You may now disconnect.
Eilif Serck-Hanssen: Thank you everyone.